Operator: Good afternoon. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q3 2021 Poshmark, Inc. Earnings Conference Call. [Operator Instructions]. Thank you. I would now like to turn today's call over to Christine Chen, Head of Investor Relations. Please go ahead.
Christine Chen: Welcome to Poshmark's Third Quarter 2021 Conference Call. Joining me today are Manish Chandra, our Founder, Chairman and CEO; and Kapil Agrawal, Interim CFO.  Please keep in mind that our remarks today include forward-looking statements such as statements related to our financial guidance and key drivers; the impact of COVID-19 on our communities, business and strategy; the potential benefits of our marketing and product initiatives; and the anticipated return on our investments and their ability to drive growth.  Our actual results may differ materially than those expressed or implied in our forward-looking statements. Forward-looking statements involve substantial risks and uncertainties, which are described in today's earnings release, our annual report on 10-K for the year ended December 31, 2020, and our 10-Qs for the quarter ended March 31 and June 30, 2021, and our subsequent filings with the SEC, including our 10-Q for the quarter ended September 30, 2021. Any forward-looking statements we make on this call are based on our beliefs and assumptions as of today, and we don't have any obligation to update them.  Also during the call, we'll present GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings release, which you can find on our IR website, along with a replay of this call.  And with that, I'll turn it over to Manish.
Manish Chandra: Thanks, Christine. Hello, and welcome, everyone. Thank you for joining us for our third quarter earnings call. Our vision for Poshmark is to become the world's leading social marketplace and the #1 destination for sellers around the world. We're laser focused on making strategic investments that drive the continued growth of our business, give the best overall experience for sellers and make our marketplace the #1 most trusted destination for buyers.  Our social marketplace was built to support sellers of all sizes, and we want to empower each and every one of them to be successful while fueling a more circular shopping engine. While we faced greater-than-expected headwinds during the third quarter due to IDFA and Apple privacy changes, we grew GMV and revenue year-over-year by 18% and 16%, respectively, to $442.5 million and $79.7 million despite difficult comparisons. On a 2-year basis, GMV and revenue grew 64% and 59% year-over-year, respectively.  We delivered our sixth consecutive quarter of adjusted EBITDA profitability with $0.3 million in adjusted EBITDA and 0.3% in adjusted EBITDA margin, while increasing our marketing spend to counter the impact of Apple privacy changes. Investing in marketing and product innovation in the quarter helped drive 17% growth in TTM active buyers, up from 16% in the second quarter. Our asset-light model holds no inventory leading to consistent high gross margins of 85% in the third quarter, resulting in a scalable business with a highly engaged community of loyal cohorts.  Third quarter sales reflected Poshmark as a go-to destination to source trends such as TikTok-inspired styles. Searches for TikTok increased 1,500% over the last 2 years, and we have seen a surge in demand for brands that are trending with TikTok influencers. We grow the GMV of our marketplace by growing our overall community of users. These users activate as buyers and sellers, creating a virtual flywheel of growth and monetization. When users join, they connect with each other through social interactions, which grew 37% year-over-year during TTM Q3 '21 to 38.9 billion. Our marketplace makes shopping online fun and interactive, and we continue to add features to increase engagement. Accelerating growth while navigating the impact of Apple privacy changes is our top priority, and we will continue to adjust our marketing strategy accordingly to grow GMV. We began adjusting our marketing spend in the middle of Q3 and have seen an early positive impact on October GMV growth.  Product innovation, category expansion, international growth and new seller tools build a foundation for driving GMV revenue and active buyer growth. We remain confident in the opportunities for accelerating future growth, driven by continued progress of these 4 growth strategies. First, we continue to focus on product innovation to drive user engagement, which is fundamental to the retention of our user cohorts and GMV growth. At the end of July, to enhance the buyer experience, we expanded our partnership with Affirm to include their split pay products for items between $50 and $200. As a result of this new pricing tier, we have seen an increase in AOV and number of orders at these price points.  Since we completed the full rollout of Buyer Alerts at the end of second quarter, we have seen an increase in listing views, engagement, order conversion and incremental daily GMV. This enhancement creates an urgency to buy for items with competing offers and creates a more personalized and curated shopping experience by merchandising similar or identical items to the buyer when the item they like has been sold.  We recognize the importance of premium-priced products in the resale market and have seen strong growth in this category, with $200-plus items now representing in the low 20s as a percentage of GMV, up from 17% in 2019. Last month, we completed our milestone first acquisition of Suede One, a New York City-based sneaker authentication platform that combines machine learning technologies, computer vision and human expertise to conduct virtual authentication. This will build more trust and loyalty with our shoppers, create a more efficient and sustainable approach to authentication and help accelerate growth in sneaker and luxury categories.  Expanding our international footprint is our second key strategic focus, and we continue to invest ahead of revenue. In mid-September, we launched Poshmark India as our first marketplace in Asia. The Indian market has over 622 million active Internet users and a rapidly growing base of sustainability and value-conscious consumers who seek a more socially connected experience, particularly Gen Z and millennials. India is an ideal fit for our unique social commerce model, both from a cultural and business perspective. Though still very early, India is off to a strong start with higher-than-expected user growth as we begin building the community.  Growing GMV through category expansion is our third strategy. With the launch of our Brand Closets program, we're opening our social marketplace to large-scale brands and retailers, allowing brands to directly connect, converse with and sell to Poshmark's community of over 80 million users with a suite of social merchandising tools. Our social commerce platform allows us to bring rich insights about fashion trends and real-time data about consumer interest to our Brand Closet partners, helping them reach new audiences, including millennials and Gen Z.  Some brands have a larger following on Poshmark than their own social media channels. And 79% of our buyers have purchased a brand for the first time on Poshmark. We already have 140-plus community brands using Brand Closets to reach our 80 million registered users. Some have built their entire brand using Poshmark. We have piloted Brand Closets with a few large-scale brands since 2020, developing a full-scale program that offers the features a large brand needs to thrive on Poshmark. We're excited about this new program as more brands see the value of social commerce and circular models, and we see brand closets as an important inflection point as we work together to shape the future of shopping.  Delivering innovative, easy to use and effective seller services to help sellers market, merchandise and sell their listings is core to our strategy. Our Co-Founder, Tracy Sun, is now officially leading a new organization at Poshmark that is exclusively dedicated to empowering our sellers, anticipating their needs and innovating to bring fresh ideas, solutions and tools that will help them grow and scale their businesses. Sellers are the heart of Poshmark community, keeping our marketplace constantly refreshed with curated merchandise that reflects current and emerging trends and lifestyle preferences.  The 4 powerful bulk listing tools that we launched at the end of June have helped sellers improve their sales productivity. During the third quarter, we saw a strong adoption of these tools with professional sellers having the highest adoption rate of 30%. Professional sellers who adopted bulk actions show a higher increase in sales, driven by an increase in orders than did listers who did not use bulk actions. We see continued opportunity for increased adoption of this feature to drive GMV growth.  We also introduced a new slate of tools to help sellers replicate the best part of client service when shopping in our physical boutique. This includes My Shoppers, a social selling and clienteling tool that is unique to Poshmark; Closet Insights, providing sellers with real-time data on their sales and inventory; direct messaging, allowing sellers to communicate directly with their buyers; and a new gold badge in the Posh Ambassador program to recognize and reward outstanding members of our seller community.  We announced these new product enhancements in October at our ninth annual PoshFest, our conference where our vibrant and passionate community members connect, network and learn how to grow and succeed by selling on Poshmark. Attendees of the virtual event came from all 50 states, Guam, Puerto Rico, Canada, Australia, India, the Netherlands, U.K., Mexico, Spain and Colombia, evidence of the global appeal and reach of our community. Our highly engaged community gives us the confidence that we will be able to navigate near-term headwinds, and we will continue to adjust our marketing to accelerate growth.  As we celebrate Poshmark's tenth anniversary next month, we believe that our business model is tailor-made to thrive in the current environment. Because our millions of sellers are constantly listing new products, our market base is highly adaptable and incredibly responsive to buyers' changing demands, and were not impacted by supply chain disruptions.  We're optimistic that this holiday season, consumers will once again attend events and see friends and family, all reasons that drive demand for apparel and accessory purchases with the potential for more self-gifting and gift-giving. Our resale marketplace enable shoppers to rotate styles, mix trends and give a second life to items, contributing to a more sustainable fashion ethos for consumers.  And with that, I will turn it over to Kapil.
Kapil Agrawal: Thank you, Manish. As Manish mentioned, despite difficult comparisons and the headwinds of Apple privacy changes, we delivered solid GMV and revenue growth year-over-year and our sixth consecutive quarter of adjusted EBITDA profitability.  During the third quarter of 2021, our cohorts have remained resilient and helped us generate $442.5 million in GMV, which was 18% growth from $375.4 million in the third quarter of 2020, a 64% growth on a 2-year basis.  Net revenues were $79.7 million in the third quarter of 2021, which was 16% growth from $68.8 million in the third quarter of 2020 or 59% growth on a 2-year basis. This was driven by a 17% growth in TTM active buyers to 7.3 million from 6.2 million in the third quarter of 2020, up from 15% in the second quarter.  Our take rate was 18%, which is down slightly from last year's 18.3% due to continued mix shift to more orders greater than $15 as orders less than $15 have higher take rates due to the flat fee of $2.95. Cost of revenue was $12.1 million in the third quarter of 2021, an increase of 6% from the third quarter of 2020 but a decrease to 15.2% of revenues from 16.5% last year due to a nonrecurring credit in payment processing fees. Therefore, adjusted gross margin improved by 1.3% to 84.8% of revenue in the current period as compared to the third quarter of 2020.  Marketing, excluding stock-based compensation, or SBC, was $35.4 million in the third quarter of 2021, an 89% increase from $18.8 million in the third quarter of 2020 when we dramatically reduced marketing spend in response to the COVID charges. On a 2-year basis, marketing only grew 6% from Q3 2019 to Q3 2021.  During the third quarter, similar to others who use digital marketing, we continue to see the impact of Apple privacy changes. Since our marketing mix is highly diversified and nimble, we adjusted by focusing on strong ROI user acquisition channels as well as investing in upper funnel strategies such as TV and creative partnerships to counter the effect of IDFA.  Marketing was 44.5% of net revenue in the third quarter of 2021 as we increased spending during the later part of the quarter to navigate the impact of Apple privacy changes. The increased investment in marketing also accelerated the growth rate of TTM active buyers to 17% in the third quarter, up from 16% in the second quarter.  Moving to other operating expenses. Ops and support, excluding SBC, was $12.4 million in the third quarter of 2021, similar to the second quarter. Ops and support was slightly lower than expected and was 15.6% of revenues, up from 14.5% in the third quarter last year.  R&D, excluding SBC, was $9.2 million in the third quarter, similar to the second quarter. R&D was 11.5% of revenues, up from 10.4% of revenues in the third quarter of 2020. This was due to the planned increase in hiring we have previously discussed as we continue to invest in additional resources across a number of key strategic initiatives.  G&A, excluding SBC of $10.3 million in the third quarter, was similar to the second quarter and was slightly lower than expected due to fewer in-person events and lower travel costs. G&A was 12.9% of revenues, up from 9.5% in the third quarter last year due to the ongoing cost of being a public company.  Stock-based compensation was $6.7 million in the third quarter of 2021, an increase from $2.6 million last year, mainly due to performance-based vesting of outstanding RSUs upon completion of our IPO in January 2021. We generated adjusted EBITDA, which excludes SBC of $0.3 million with adjusted EBITDA margin of 0.3% as compared to $15 million and 21.9% margin in the third quarter of 2020. The decrease in profitability was driven by an increase in marketing investment as compared to the last year where we significantly lowered our marketing spend during the initial onset of COVID-19. As we have discussed before, for the remainder of 2021, we'll continue to invest in marketing to accelerate GMV growth.  Operating loss, excluding SBC, was negative $0.6 million in the third quarter of 2021 with operating margins of negative 0.7% compared to $14.3 million with margins of 20.8% in the third quarter of 2020. Third quarter 2021 net loss to common was negative $7.2 million compared to $8.1 million in income last year. Cash, cash equivalents and marketable securities were $589 million at the end of the third quarter 2021. As you think about capital allocation, our #1 priority is using our strong balance sheet to make strategic investments to drive long-term growth.  Moving to the cash flow statement. For the 9 months ended September 30, 2021, free cash flow was $31.3 million compared to $67.1 million for the first 9 months ended in 2020. Our strong cash flow generation significantly strengthened our balance sheet and liquidity.  We expect fourth quarter revenues of $80 million to $82 million, resulting in a growth rate of 15% to 18%. We have seen early signs of the positive impact of increased marketing investment that we started in the third quarter with accelerated JV growth in October. Similar to third quarter, we expect to see a pressure on our fourth quarter take rate from last year as we expect continued mix shift to orders greater than $15. In addition, we anticipate that USPS will once again experience logistics disruption during the holidays as the shift to e-commerce outpaced its capacity.  We expect negative EBITDA of $7 million to $8 million in the fourth quarter as we continue to invest in marketing to accelerate top line growth while navigating the impact of Apple privacy changes. Adjusted gross margin during the third quarter of 2021 was ahead of our initial expectations. And for the remainder of 2021, we expect adjusted gross margin to be similar to 2020 levels due to the absence of nonrecurring credits in payment processing fees.  We expect ops and support, excluding SBC in the fourth quarter as a percentage of revenue, to be slightly higher than last year due to anticipated logistical challenges faced by USPS during the holiday season. R&D, excluding SBC, in the fourth quarter is expected to increase as a percentage of revenues from last year as we continue to increase our investment in product innovation to accelerate growth.  For the remainder of the year, G&A, excluding SBC as a percentage of revenue, should be higher than last year due to the ongoing cost of being a public company. We expect marketing, excluding SBC, as a percentage of revenues to be in the high 40s due to higher cost in digital advertising as a result of Apple privacy changes. Our asset-light, high gross margin business and consistent behavior of our cohorts gives us the confidence that we will be able to adapt to the changes in the digital advertising landscape by investing in marketing now to accelerate growth.  We will be disciplined in our marketing investments. And our diversified marketing mix will enable us to build our user base to grow active buyers, which will put us in a stronger position in the long term. We expect that uncertainty due to COVID and its effect on reopening time lines across international markets launched in 2021 will result in a slower ramp-up than what we had initially expected for next year, impacting growth rates. But we would expect growth next year to accelerate from the current quarter as we begin to benefit from our investment in marketing, category expansion and the launch of Brand Closets.  Our social marketplace is nimble, as evidenced by the resilience of our cohorts. Our asset-light model holds no inventory to supply highly responsive to buyers' changing demands, positioning us well to thrive in the current environment. We have a long runway of growth ahead, fueled by the execution of our growth strategies and our relentless focus on building a more seamless, more social and more secular way to shop.  Thank you. And I will now turn the call over to the operator so we can take your questions.
Operator: [Operator Instructions]. Your first question comes from the line of Lauren Schenk with Morgan Stanley.
Nathaniel Feather: You've got Nathan Feather on for Lauren. Just one in mind, I guess, trying to figure out a little bit more on the impact of IDFA to some of the KPI hears. I would have assumed that would have had the most impact on active buyer growth, but that did accelerate in the quarter. So can you just talk about how IDFA was impacting kind of GMV and revenue growth? Or is it really more kind of a new user getting in the door impact?
Manish Chandra: Thanks. The thing with IDFA is it has really increased the cost of digital advertising and decreased the efficacy when running targeted marketing programs. And so for us, being a data-driven organization, we spent June and July really measuring the ROI and figuring out what the right level of spend is. And in fact, if you recall in the last call, we actually decreased our marketing spend at the end of second quarter to allow our marketing team time to assess how to navigate Apple privacy and efficiency.  Once we sort of realized where the right level of spend was, we increased our marketing spend starting in the second half of the third quarter. And that's when we saw an acceleration in TTM active buyer growth of 17%, and we've seen an early positive impact of October GMV and -- because of this increased marketing spend. So really, the dynamics started on the positive side a little bit later in the quarter.
Nathaniel Feather: Okay. Great. That's helpful. And then can you just give an update on how things are progressing with the Poshmark Mini app integration into Snapchat?
Manish Chandra: Sure. Yes. So Snap and Poshmark partnership continues to be a really great partnership, which allows our sellers' inventory to be distributed inside Snapchat and brings Snapchat users to Poshmark inventory natively in Snapchat. As you know, Snapchat has a predominant community of Gen Zers. So this is obviously a very relevant and very fast-growing part of our community. Gen Z makes up 77% of daily active players using Poshmark Mini.  And our goal is to really make Poshmark ubiquitously available. You see that on all the platforms. You see that in the browsers. And certainly, Snap is an important platform for reaching young consumers who seek a more social and sustainable way to shop. So we continue to make good progress there in terms of just penetrating that and scaling that.
Operator: Your next question comes from the line of Ross Sandler with Barclays.
Unidentified Analyst: This is Thomas on for Ross. Any high-level comments on retention, given the uptick in marketing as a percent of GMV? Is this going to remarketing previous cohorts or new customers? Any color here is pretty helpful.
Manish Chandra: Yes. When we think of marketing, we really think of it in 2 buckets, either new user acquisition to drive growth. And really, that comes from organic growth, word-of-mouth sellers and then direct response advertising. Direct response is both Google and Facebook and certainly other channels out there, but those are the most dominant ones. And then the third is brand awareness, which is TV and creators and influencers out there.  Now if you think of these channels, some of these channels drive both new growth as well as retained growth. If we think of purely marketing to retention, it comes predominantly through our own channels, e-mail notification, vlogs, social, events, Posh Parties or whether our social network. So when we think of our overall growth strategy, we think of that mix, that sort of impacts that healthy mix between focusing on new user growth and the older user growth. The cost per user on the new user side was definitely the most impacted in terms of the Apple privacy changes and IDFA.
Operator: Your next question comes from Ralph Schackart with William Blair.
Ralph Schackart: There's been a lot sort of talked about on IDFA and industry-wide CACs have gone up pretty significantly. So just curious how your CAC has trended relative to what's going on in the industry with these recent changes and then sort of your current thoughts on LTV to CAC. As you look forward, do you think you'll be able to sort of get back to where you were historically? Or do you think this will take some time to sort of grind through? And I have a follow-up question.
Manish Chandra: Yes. Look, I think as it's no surprise, our costs have gone up. And when we think of how we invest in it, ultimately, we rely on our long-term behavior of cohorts and our high gross margin business, which allows us to recoup these costs. Certainly, we've represented and we've talked about how we have thought in terms of payback period, which has been in that 2-year time frame. In order to accelerate the spend in growth, we have to give a little bit of leeway to our marketing team to do that, and it will impact our payback periods temporarily.  But when we think of the long term, we have successfully navigated several different digital advertising landscape changes over the last few years. Going all the way back to 2018, Facebook had changed its algorithm if you remember in Q2 of 2018. And it took us about a year, 1.5 years to sort of digest that cost and normalize it and get that to normal pay period. Last year, Google went through search changes, and that was also a pretty fast re-vectoring. IDFA is changing -- taking a little bit more time to digest, both on our re-vectoring and our partner's re-vectoring, but we expect, over time, it will get normalized and we'll be able to rebalance to our normal payback periods.
Ralph Schackart: Great. And just a follow-up, if I could, please. Just in terms of the guide that calls for negative EBITDA. Is that a reflection of what you're seeing in the current market environment with IDFA? And if so, how should we think about that sort of investment period going forward into 2022? And I guess a bolt-on to that question is there was some commentary about slower growth in 2022. I apologize if I missed it, if you could just sort of repeat some of that commentary, I'd really appreciate it.
Kapil Agrawal: Thanks, Ralph. So there are two key assumptions which are driving our EBITDA guidance for the fourth quarter. First is we are increasing our marketing investment from mid-40s in the third quarter to high 40s to counter the impact of IDFA and to accelerate GMV growth. And second, similar to what we saw last year, we expect potential disruptions at USPS due to the influx of online shopping over the holidays. And that could result in higher ops and support cost as we want to maintain our high level of customer service during the peak holiday season.  And as far as 2022 is considered, Ralph, it's too early for us to give an outlook on 2022 as we are in the middle of our planning cycle. But given our strong balance sheet, we'll continue to invest in marketing next year to accelerate our top line growth.
Manish Chandra: The only thing, I think, which we did talk a little bit about, Ralph, which I want to just reemphasize is the fact that we are counting on these non-U.S. and Canada markets to have a slower ramp to sort of becoming critical to our business. So that's the one thing we are asking you not to sort of include in your 2022 assumptions. Because of COVID, these markets have taken time. They're seeing early signs of good engagement, et cetera. But we want to be just much more cautious about factoring them too much into 2022 growth.
Ralph Schackart: Okay. Was that relative to the commentary about slower 2022 growth as I think I understood during the prepared remarks?
Manish Chandra: Yes. It's mostly around that. Yes. Yes. On the core side, we actually expect it to grow -- to accelerate from Q3 levels.
Ralph Schackart: Okay. So it's just the COVID impacts from some of the international markets then?
Manish Chandra: Yes. In terms of -- I mean, you're seeing different countries sort of behave differently. I mean I was just reading and -- sadly about Germany's conditions right now. So each market is just sort of in a different trajectory overall.
Operator: Your next question comes from Oliver Chen with Cowen.
Kathryn Hallberg: This is Katy Hallberg on for Oliver Chen. I would just love a little bit more details on the learnings from your launch in India now that it's been several months. And then I have a follow-up after that.
Manish Chandra: Sure, absolutely. We launched India in mid-September and really been thrilled by the vibrancy of the market. Tremendous potential there, 622 million active users and a rapidly growing base of sustainable and value-conscious consumer. We're seeing strong user engagement, and actually, user growth is ahead of plan there. And we are seeing good listings growth, good sort of engagement overall.  So for us, when we see a country which is slightly different than, say, Canada and Australia has some very specific local dynamics and see the market sort of thrive, it's very encouraging about the universal appeal of our model. And I think India is still readjusting from COVID. So that sort of -- that impact is still there. But overall, the core social flywheel is very well in progress and showing very good traction in India.
Kathryn Hallberg: That's great. And then I would just love to know a little bit more about the trends across categories. If you could just speak to home and pet or non-apparel versus apparel. And then specifically, just a little bit more on women's apparel would be much appreciated.
Manish Chandra: Could you repeat the last question again?
Kathryn Hallberg: Just a little bit more detail on the trends across the categories. So non-apparel versus apparel, and specifically, how did women's apparel look in Q3?
Manish Chandra: Do you have the data? Let me try to see what we can share on that front. But broadly, when we think of sort of the newer categories, they continue to take hold very well, particularly pets, which we launched in Q2. We've seen an acceleration in non-apparel categories for sure, including sneakers and handbags. But on the apparel side, can we get that data? So just to give you a sense that non-apparel categories were 6% of GMV in 2020 and have sort of scaled to 6% in the third quarter of 2021. So they're sort of at that same level.
Operator: Your next question comes from Aaron Kessler with Raymond James.
Aaron Kessler: A couple of questions. Maybe just first on the Brand Closets program. Can you talk a little bit about the rollout of this, kind of the go-to-market strategy and maybe list how brands will deal with logistics there as well?
Manish Chandra: Yes. Thanks. Super excited about the growth opportunity with Brand Closets, as brands can interact and sell to our community of over 80 million registered users, helping them reach new customers. One of the great things about brands selling new items on Poshmark are that they are participating in a very different shopping ecosystem. It's an ecosystem where items can have multiple lives, exchange hands many time over through features like Reposh and continue to get resold.  Many brands have a larger following in Poshmark than their own social media channels, and that's sort of one of the interesting factors that they look at. The other thing is we bring brands to new buyers. 79% of our buyers have purchased a brand for the first time on Poshmark. We currently have a handful of large brands who are active on our platform, Free People, Lucky Brand, Doses of Color and HUE. We've seen interest in brand project-wise significantly since our announcements, and we are in active discussion with several other large brands.  We have about 140-plus smaller brands using our Brand Closet program. And ultimately, the Brand Closet program brings all of the social tools that we have, but adds to it enterprise integration as well as giving them extra traffic with the Brand Closet -- a button -- official Brand Closet button on their brand pages and allows them to leverage the fan base that they have in Poshmark for their brands to get new distribution, new buyers, but also reconnect with buyers that they have.
Operator: Your next question is from the line of Roxanne Meyer with MKM Partners.
Roxanne Meyer: Great. My question was on your other big initiative, Suede One. I was wondering if you could elaborate on your strategy to go after a more luxury market, how you see the ramp there. And any -- what kind of time and further investment you might need to communicate the authentication and to gain the trust of your customer base?
Manish Chandra: We're excited about the Suede One acquisition, which really gives us an extra tool to sort of expand our authentication from where it is, which is at the $500-plus price point to lower price points, but also brings special expertise to authenticating sneakers. We recognize the importance of these premium-priced products, particularly in the resale market. And we've seen strong growth in this category of these $200-plus items. They now represent in low 20s as a percent of GMV, up from 17% in 2019.  When we think of this milestone acquisition and its integration into our platform, it ultimately allows us to broaden that trust and safety to a much wider price point than we could do with physical authentication. We've just closed the acquisition in fourth quarter of 2021. We expect it to go live in 2022 in our platform. It's preliminary to give sort of the full impact, but we should have some more progress on it in 2022.
Operator: Your next question is from the line of Tom Nikic with Wedbush Security.
Tom Nikic: I want to ask about the marketing cost ratio. So that was mid-40s in Q3, high 40s for Q4. Is that -- do you think that high 40s rate for Q4 represents a high watermark? And as you start to maybe reap some of the benefits of the accelerated investment in the back half of 2021, maybe you can step off the gas pedal a little bit next year? Or do you think you're going to have to keep accelerating the marketing investment beyond Q4?
Manish Chandra: I think the honest answer to that is simply that there's a little bit of uncertainty. We were hoping that IDFA would balance by end of Q4. It's taking a little bit longer. So once we sort of see that rebalancing, yes, we should be able to take the foot off the pedal. But for now, just given our strong balance sheet, our asset-light model, strength of our cohort, we don't want to slow down on growth as we sort of navigate through this IDFA challenge. So that's sort of the answer. It's not something that we want to do. It's something we are doing to counteract the impact of just higher user costs in the short term.
Operator: Your next question comes from the line of Brian McNamara with Berenberg Capital.
Brian McNamara: I guess just a follow-up on the last question. I guess, can you just talk in layman's terms of how you expect the IDFA to balance, as you said? And what gives you confidence that growth will reaccelerate after you work through the marketing efficacy issues?
Manish Chandra: Sure. A couple of things. I think whenever we have sort of looked at rebalancing out of marketing resistance, it boils down to what you are -- going to the customers of how you're marketing to it, using the strength of our community word-of-mouth and sort of leveraging the organic impact of all the paid marketing that we do. And third is rebalancing it across channels, whether it's top of the funnel channels like awareness channel or creator channels out there. So those are the ways in which we have traditionally sort of rebalanced out whenever one specific channel becomes exceptionally impacted.  The second thing is the platforms themselves, whether you look at sort of any of the social platforms or mobile platforms, are also actively rebalancing that. And we expect that to also have a benefit on our side. We're not counting on it. We're counting more on the work that we are doing on our side to counteract the impact of this change.
Brian McNamara: And just a quick follow-up. I mean the stock hasn't performed well on your kind of first 3 or 4 earnings reports out of the gate. I'm just curious what should you leave long-term investors with in terms of something that should give confidence within the business moving forward?
Manish Chandra: Great question. I think, look, it's been definitely not a great sort of 3, 4 quarters from a stock performance perspective. I think the foundation of the business is very solid. When you think of the community we have, the users we have, the scale of the business and high gross margin. And for us, when we look into the future, we see a future that is all of the trends that we are investing in are actually shaping the future of shopping. Certainly, as a marketplace, we are asset-light, so we can respond to trends in apparel and all these things, changes happening.  Second is we continue to invest in innovation, which allows our sellers and shoppers to connect faster and sellers to sell faster. And third is continue to diversify the people who can sell on the platform. Last 2 years, for apparel, for accessory, for fashion, have not been linear in any way. We've stopped going out. We're sort of just starting to reintegrate with society. We start and then have to stop again. So all of this volatility has not made for a great sort of apparel climate.  But despite that, we've done pretty well in growing for the last few years. So as you look into the next year, as the world opens up and normal social activities resume, there should be a lot more excitement as we look into that. So that's, I think, ultimately the foundation of an asset-light model, social model, second-hand, reuse and high gross margin should give investors the confidence that over the long term, this is a great company to own.
Operator: [Operator Instructions]. Your next question comes from Anna Andreeva with Needham.
Anna Andreeva: We wanted to follow up on the take rate. Was a little bit lower than what you had expected, and you talked about the mix shift to the higher-priced items. Could you maybe talk about how we should think about the take rates as we look out for the next couple of quarters? And on that, maybe remind us what's the percentage of a professional as opposed to more cash-based seller percent of your seller community? Just trying to think about the potential to monetize some of the seller services that you guys have been pivoting into?
Kapil Agrawal: Our take rate came in at 18% in the third quarter, and that was due to an increase in orders greater than $15, which shifts this order mix away from orders below $15. And as a result, our blended take rate decreased slightly because of flat commission of $2.95 for orders below $15 generates a higher take rate. We do continue to see strong momentum in premium-priced items going at a faster rate than non-luxury items. And that was for Q3.  Now if we talk about Q4, there are 2 factors which will tie our take rate in Q4. One is continued mix shift to high-priced items, but also expected disruptions to USPS during the holiday as the shift to e-commerce outpaces shipping capacity. And that will potentially increase cancellations similar to the fourth quarter last year. While disruption to USPS are more seasonal and specific to fourth quarter, it's hard to predict mix shift too in 2022.
Manish Chandra: And just to go to your question, Anna, about professional services, we haven't broken down the split there, but there is definitely, as time has gone on over the last 8 to 9 years, a very significant presence of people who are using Poshmark or selling in higher volumes. And some of the initiatives we've launched over the last year really recognize that. So when you think of tools like My Shoppers, when you start to think of Closet Insights, et cetera, and certainly, they've been asking for more and more tools and many of them pay for third-party services.  So there's definitely an opportunity there. We haven't announced anything concrete, but that's definitely an area that people have been asking us for more and more tooling and more and more services as they scale their business on Poshmark. So the whole professional reseller community has become a pretty mighty force in the retail universe.
Anna Andreeva: That's great. And just as a quick follow-up. You mentioned the October GMV inflected, and you're doing something differently with the marketing upper funnel type of initiatives. Can you just maybe dive into that a little more? And are there specific categories that are also driving that inflection?
Manish Chandra: Yes. On the marketing side, I think we continue to balance out the various channels, but one of the channels that obviously is very, very active at the minute because trends are shifting constantly is the creator channel and the influencer channel. Just to give you a couple of sense of specific trends that are happening, we saw, for example, retailer Loungefly as sort of having a huge momentum and just that brand at a 99% growth in Y-o-Y sales on Poshmark. And a lot of it is driven by they are focused on collectible backpacks, wallets and purses, driven by partnership with entertainment franchises like Marvel, Harry Potter and Star Wars.  So that's sort of some of the trends you're seeing on Poshmark in terms of what's driving the growth, and that's sort of part of that creator channel. If you look at the categories, we haven't seen any significant shift in categories in October so far. It continues to go well in line in trends for the Q3.
Operator: There are no further questions at this time. I will turn the call back over to Mr. Manish Chandra for closing remarks.
Manish Chandra: Thanks, everyone, for joining our call and for your questions. We look forward to speaking with you again next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.